Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:05 Greetings and welcome to the Kamada Ltd. Fourth Quarter and Full-Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. 00:28 It is now my pleasure to introduce your host, Bob Yedid with LifeSci Advisors. Thank you, Bob. You may begin.
Bob Yedid: 00:36 Thank you Paul and good morning and good afternoon to everyone. Thank you all for participating in today’s call. Joining me from Kamada are Amir London, Chief Executive Officer; and Chaime Orlev, Chief Financial Officer. 00:53 Earlier today, Kamada announced its financial results for the 3 months and 12 months ended December 31, 2021. If you have not received this news releases, please go to the Investors page of the company's website www.kamada.com. 01:13 Before we begin, I'd like to caution that comments made during this conference call by management will contain forward-looking statements that involve risks and uncertainties regarding the operations and future results of Kamada. 01:26 I encourage you to review the company's filings with the Securities and Exchange Commission, including without limitation the company's Forms 20-F and 6-K, which identifies specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements. 01:46 Furthermore, the content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, Tuesday, March 15, 2022. Kamada undertakes no obligation to revise or update any statements to reflect the events or circumstances after the date of this conference call. 02:09 With those prepared remarks, it's my pleasure to turn the call over to Amir London, CEO. Amir?
Amir London: 02:17 Thank you, Bob. My thanks also to our investors and analysts for your interest in Kamada and for participating in today's call. The recently completed 2021 year was a transformational period for Kamada in our path to becoming a global leader in the plasma derived specialty markets. 02:39 Following the completion of the planned manufacturing transition of GLASSIA to Takeda, our recent acquisition of the portfolio of Four FDA-approved commercial immunoglobulins and the establishment of Kamada Plasma, our U.S. based plasma collection company, we are embarking on a new and exciting chapter in the company’s evolution. 02:39 We are building on the strong foundation established over the years entering 2022 as a new Kamada, a full-integrated specialty plasma company with six FDA-approved products and strong commercial capabilities in the U.S. market, as well as global commercial footprint in over 30 countries. 03:26 Our business performed as expected in 2021 and we look ahead to 2022 for which our revenue guidance is between $125 million to $135 million, representing a 20% to 30% growth, compared to 2021, with expected EBITDA margins of 12% to 15%, which would represent more than 2.5x of the 2021 EBITDA. 04:01 This strong guidance reflects the benefits stemmed from our new strategic direction and the resumption of revenue and profitability growth in 2022. Importantly, we further expect continued growth at a double-digit rate in the coming few years. 04:20 The acquisition completed in November 2021 following a thorough sales for the ideal assets for Kamada was a critical strategic and synergistic step for the company. The acquired products generated revenues exceeding $40 million in 2021, with over 50% gross margins, and we anticipate significantly growing the new portfolio revenues through proactive promotional activities in the U.S, where our newly established subsidiary, Kamada Inc., is responsible for the commercialization and direct sales of the products. 04:55 We also intend to leverage our existing strong international distribution network to grow product revenues in new territories, primarily in Asia, Latin America, and the Middle East. I’m pleased to report that these promotional and sales activities have already commenced. 05:13 Just yesterday, we announced that Jon Knight joined us as Vice President, U.S. Commercial Operations, to lead commercial activities for portfolio of innovative medicines. Jon’s vast commercial leadership experience in the biopharmaceutical industry, primarily focus on driving sales of innovative specialty plasma products will be instrumental to our initiatives aimed at further penetrating the U.S. markets with our expanded product line. 05:43 We intend to actively promote this compelling product to hospitals and physicians throughout the U.S. As such, we are also in the process of hiring a focused team of experienced sales and medical experts with established relationship with relevant U.S. Healthcare providers. 06:04 Of the full acquired product, the largest is Cytogam, indicated for the prophylaxis of CMV disease associated with solid organ transplantation. This proprietary and unique product is the only FDA-approved IgG product for its indication. The [manufacturing] [ph] process for Cytogam is already well underway, and we expect to receive FDA approval for its production at our Israeli facility by early 2023. 06:35 Moreover, based on the Cytogam manufacturing transfer, the expected growth of KedRAB, our anti-Rabies hyperimmune product, and planned manufacturing transition of the other acquired products over the next few years, we anticipate improving the gross margins of our proprietary products by effectively utilizing our plant capacity. 06:59 Another major strategic step taken is the acquisition of a plasma collection facility in Texas, in early 2021, which primarily specializes in the collection of hyper-immune plasma used for Anti-D immunoglobulin, a product manufactured by Kamada and distributed in the international markets. This acquisition represented Kamada’s entry into the U.S. plasma collection market and supported our strategic goal of becoming a fully integrated specialty plasma company. 07:36 We are already actively engaged in the expansion of the hyper-immune plasma collection capacity at this center and we are simultaneously advancing our plan to open additional centers in the U.S. to further enhance our supply of specialty and regular plasma. 07:55 To lead our expansion efforts, we've also recently appointed Jonathan Ward as Director for Facilities and Construction. Jonathan brings to Kamada more than 25 years of experience in facilities and construction management, most recently in the plasma collection industry. This plan expansion is expected to enhance our IgG competitive position in the various markets. 08:24 KedRAB, marketed in the U.S by Kedrion, continues to gain market share in the $150 million U.S. market. During 2021, the FDA approved a label expansion for the product, which differentiates KedRAB as the first and only human rabies immunoglobulin available in the U.S. to be clinically studied in children and confirming the safety and effectiveness of its use in pediatric population. We anticipate sales of the product to grow significantly during the next few years. 09:00 As for GLASSIA, in 2021 as planned, Takeda completed the own manufacturing facility for the product and we fulfilled our supply commitments. Going forward, we expect to begin receiving royalty payments from Takeda, starting as soon as the second quarter of this year, in the range of $10 million to $20 million per year from 2022 to 2040, enhancing our profitability and cash position. 09:31 In addition, we continue to grow sales of GLASSIA in international markets through our local partners. 09:40 Turning to our promising clinical development pipeline, we are excited about the potential of our innovative Inhaled AAT product for the treatment of AAT Deficiency, a technology which has shown to be highly effective way of delivering AAT directly into a patient’s lungs. 10:01 A substantial opportunity exists for inhaled AAT to be a revolutionary product in a market that is already over $1 billion in annual sales in the U.S. and the EU and growing steadily. We are currently conducting the InnovAATe clinical trial, a randomized, double-blind, placebo-controlled, pivotal Phase 3 study. 10:26 While enrollment in the study was slowed during the last two years, due to the COVID-19 pandemic, we are currently expanding the study with up to six additional clinical sites planned to be opened shortly, thereby expediting enrollment. Importantly, this is a unified study, as the trial’s data are expected to qualify for regulatory submissions in both the FDA and the EMA. 10:56 In our distribution segment, which is an additional important growth catalyst for Kamada, we leverage our expertise and strong presence in the Israeli market to register, market, and distribute more than 20 products that are developed and manufactured by our international partners. 11:14 Since 2018, we’ve significantly grown our pipeline of distributed products and in 2022 we anticipate launching a number of new products across multiple medical specialties. An area of key strategic focus in our distribution business is the planned distribution of a portfolio of 11 biosimilar products, expected to be launched upon receipt of Israeli regulatory approval, between the years 2022 and 2028, with an overall annual anticipated peak sales, within several years of launch, of more than $40 million. 11:52 Once achieved, it will more than double our current Israeli distribution business. Included in this portfolio are eight products through a distribution agreement with Alvotech, a global leader in the development and manufacturing of biosimilar drug candidates. 12:11 In closing, 2021 was a year of great importance for Kamada, as we successfully executed on multiple critical strategic transactions, ensuring a rapid financial turnaround of the company, with significant growth at a double-digit rate anticipated in the years ahead. 12:32 As we enter 2022, the initial benefits of the pivotal actions we have taken are already evident. Kamada is uniquely positioned for growth as a global leader in the specialty plasma industry, with multiple robust value-creating catalysts. 12:51 With that, I now turn the call over to Chaime for his review of our fourth quarter and full-year 2021 financial results. Chaime, please.
Chaime Orlev: 13:04 Thank you, Amir, and good day everyone. Our business performed as we anticipated during 2021. Total revenues in 2021 were $103.6 million as compared to $133.2 million recorded in 2020. This decrease was primarily due to the transition of GLASSIA manufacturing to Takeda, resulting in an overall $38.7 million year-over-year decrease, and a year-over-year of $6.4 million in KEDRAB sales to Kedrion. This decrease resulted from a high level of product inventory at Kedrion at the end of 2020, due to the COVID-19 pandemic effect on KEDRAB sales by Kedrion in that year. 13:58 On the other hand, we posted $5.4 million of revenues generated from the newly acquired portfolio. Of note, these revenues are for the period from November 22, 2021 through the end of the year. 14:15 In the fourth quarter of 2021, total revenues were $31.5 million, which was equivalent to the revenues recorded in the fourth quarter of 2020. EBITDA in 2021 totaled $5.4 million, as compared to $25.1 million in 2020. This decrease is primarily attributed to the overall change in product sales mix, specifically for decrease in sales of GLASSIA to Takeda and KEDRAB to Kedrion. 14:51 In addition, we incurred approximately $1.2 million of transaction related expenses associated with the newly acquired portfolio and approximately $600,000 of excess severance to employees who were laid-off as part of the downsizing following the transition of GLASSIA manufacturing to Takeda. 15:15 As of December 31, 2021, the company had cash, cash equivalents, and short-term investments of $18.6 million, as compared to $109.3 million on December 31, 2020. The primary use of the cash during 2021 was the acquisition of the four FDA approved plasma derived hyperimmune commercial products. 15:39 As of the end of 2021, our working capital increased by $13.7 million to a total of $57.4 million. In connection with the recent acquisition, we secured the $40 million credit facility. Credit facility is comprised of a $20 million five-year term loan, which is fully utilized by us and a 20 million short-term revolving credit facility, which provides us access to additional cash resources to continue to support our expansion as needed. As of the end of 2021, we have not utilized the short-term credit facility. 16:21 To reiterate, our revenue guidance for 2022 is between $125 million to $135 million, a 20% to 30% growth, compared to 2021. We expect EBITDA margins of 12% to 15%, which would represent more than 2.5x of the 2021 EBITDA. 16:46 That concludes our prepared remarks. We will now open the call for questions. Operator?
Operator: 16:55 Thank you. [Operator Instructions]
Bob Yedid: 17:39 Paul, it's Bob Yedid from LifeSci. I’ve been emailed a question by an investor. Maybe I could ask that question. The question is for Amir, which is, how long will it take to transition in addition to the four products to the Israeli manufacturing facility? And how will that enhance gross margins over time?
Amir London: 18:08 Thank you, Bob. So, as described during the call, CYTOGAM is already underway as part of the tech transfer to our facility and we expect to have FDA approval by beginning of 2023. CYTOGAM is more than 50% of the new portfolio in terms of its revenue and contribution. The other three products, we will be initiating that tech transfer activities and we expect to be able to complete those within the next three to five years. 18:49 And once they are manufactured by Kamada at our facility this will have a significant contribution to the overall effectiveness of the plant and the gross margin of our proprietary products. This is definitely part of the synergies of the acquisition that we've made.
Operator: 19:19 Thank you. There are no further questions at this time. I'd like to turn the floor back over to management for any closing comments.
Amir London: 19:28 Yes. So, in closing, on behalf of the entire Kamada team, we look forward to continuing to help clinicians and patients with important lifesaving products that we develop, manufacture, and commercialize. We thank all of our investors for their support and remain committed to creating long-term shareholder value. 19:48 I wanted to reiterate the significant growth expected already in 2022 with our guidance for the year expected to range between $125 million to $135 million, representing a 20% to 30% increase over 2021, while EBITDA margins are expected to grow more than 2.5x over 2021 EBITDA. 20:15 So, this is significant growth expected for the year and we expect to have a double-digit growth continue over the next few years. We hope you all stay healthy and safe, and we thank you for you participating in today's call.
Operator: 20:36 This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.